Operator: All participants are in listen-only mode for the entire duration of today's call. Today's call is being recorded. If you have any objections, you may disconnect at this time. Let me now turn the call over to Kate at Emmis. You may now proceed.
Kate Healey Snedeker: Thank you. Good morning everyone. Thank you for joining us for today's Emmis Communications' Conference Call regarding First Quarter Earnings. I want to extend a special welcome to all the Emmis employees who are joining us and listening in. We'll begin in just a moment with opening comments from Emmis Chairman and CEO, Jeff Smulyan and Ryan Hornaday, EVP, CFO and Treasurer. After opening comments from Jeff and Ryan, we will response to the questions that have been submitted via ir@emmis.com. A playback of the call will be available for the next week by dialing 402-220-5339. This conference call may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Please refer to Emmis' public filings with the SEC for more information on the various risks and uncertainties. Additional disclosure related to non-GAAP financial measures has been posted under the Investors tab of our Web site, emmis.com. Jeff, we’re ready to begin.
Jeff Smulyan: Kate thanks. Our first quarter that we’re reporting on, actually it’s encouraging in some ways that we beat our markets. On the other hand, our markets were down six, we were down four. The best news is that we’re seeing pacing up. And while we have a down June because of some Summer Jam weather-related issues, July and August are actually pacing better than we’ve seen. In the first quarter, New York beat its market by 7 points. It was flat in a down 7 market. We’re now seeing New York pace up a bit. Probably the highlight of the quarter for us was the sale closing on the sale at St. Louis. As you know, we sold our stations in St. Louis two to Hubbard for $45 million, two to Intercom for I think $15 million or $16 million. That has brought our credit facility debt down to $20 million. Obviously, debt reduction and restructuring the balance sheet, changing the focus of the Company is really the key goal of Emmis today. As I said, Q2 will be negatively impacted in June by weather related issues at Summer Jam in New York. But other than that, our pacings have actually kicked up. So while the quarter be affected by that one time event what we’re seeing in our core business is improving, July, I think it’s now up to positive territory and August is just very slightly down, so seeing better things there encouraging. Couple of other fronts, NextRadio, as we’ve discussed in the past, we’re seeing a remarkable opportunity for data attribution others in the industry see it as well. And so as the rollout of next radio continues, the focus will be on what advertisers have told us is the absolute missing link that the radio industry needs and we have. And that is a complete data attribution process for the American radio industry. And we are far along in discussions in changing the focus of NextRadio with significant input and partnership from major radio broadcasters. So that has been a very encouraging trend, and stay tuned for that. Our Indianapolis Monthly has had a very good quarter. In Digonex, our dynamic pricing business, again we see steady progress. The people who’ve used Digonex love it, client retention has been very good and we keep growing in new areas. And we think that that will be a self-sustaining business certainly by next year. So with that, I want to turn it back to Ryan and then try to get questions.
Ryan Hornaday: Thanks, Jeff and good morning, everyone. This morning, we released earnings for our first fiscal quarter ended may 31, 2018. In the last 12 months, we have sold KPWR FM in Los Angeles and our four radio stations in St. Louis. These sales calls or current period reported results could not be comparable with prior year results. We encourage those on the call to refer to the supplemental financial information we have posted under the investors tab of our Web site, www.emmis.com. Pro forma for these asset divestitures, our radio revenues as reported to Miller Kaplan, which exclude certain barter and other revenues, were down 3.9% in Q1. According to Miller Kaplan, our radio markets collectively were down 5.7% in the quarter. Our New York cluster gained share in the quarter as it significantly outperformed in New York radio market. Looking at the individual months in the quarter and pro forma for asset divestitures; March was down 5%, April was down 6% and May was down 2%. Automotive was our largest category in Q1, representing 9% of our revenues and our automotive revenues were down 14% in Q1. The beverage and home categories were strong in the quarter restaurants and media joined automotive as the weakest of our top 10 categories. Pro forma for the sale of our stations in Los Angeles and St. Louis, Radio station operating expenses, excluding depreciation and amortization, were down 1% in Q1. Expenses for our emerging technologies were down $1.1 million in Q1, nearly all of this decrease relates to two non-recurring items in the prior year. In Q1 of the prior year, NextRadio received $0.65 million of proceeds pursuant to a non-recourse loan from a third-party. The proceeds from the loan were remitted to Sprint during the quarter to help satisfy the remaining obligations due to Sprint, and were expensed on the books of NextRadio at the time of their remits. In addition, in Q1 of the prior year, Emmis contributed approximately $0.3 million to NextRadio to cover the radio industry's remaining shortfall to Sprint. NextRadio remitted this amount to Sprint during Q1 of the prior year, and it was expensed at that time. As of May 31, 2018, we had $28 million of secured credit facility debt outstanding and approximately $10 million of unrestricted cash on hand. During the quarter on April 30, 2018, we closed on the sale of our four radio stations in St. Louis to affiliates of Hubbard and Intercom. Gross proceeds were $60 million and net proceeds were used to repay senior credit facility debt outstanding. Looking ahead to Q2, our revenues in June were adversely impacted by poor weather for our largest outdoor concert Summer Jam in New York, which was held on June 10, 2018. Rain fell for most of the day dampening ticket sales. Overall, June finished down 16%. At this time, July and August look firmer pacing flat to down low single digit as compared to the prior year. Finally, we invested less than $0.1 million in capital expenditures in Q1, and we expect capital expenditures in fiscal 2019 to be less than $1 million. With that, Jeff, we have some questions investors submitted to us in advance of the call.
A - Ryan Hornaday: Emmis's radio markets were down 6% in Q1. What do you attribute radio struggles to, and what does the radio industry need to do to return to growth?
Jeff Smulyan: Well, I think as you know, it's been a fragmented world. There has been so much written about this that so many dollars have shifted to digital. The thing that we believe strongly, and I think that our brethren believe very strongly is if we can provide risk data analytics, we can regain the strength that radios had. It's interesting. The beauty of broadcasting has always been as called action its memorability. And I've used the example in speeches that 20 years after radio went off; the cigarette advertising went out of favor or was banned. People still only remembered the slogan Winston tastes good like a cigarette should. Even though in the 20 years, Winston had four or five other slogans. They always remembered that slogan, because they heard it on radio and saw it on TV. That has been our advantage. We provide audio messages television provides video messages that really lock into peoples' heads. But because of the rich data attribution characteristics of Google and Facebook, that advantage has been lost. What we've seen in all of the work around NextRadio and those who follow the industry have read it in 100 places is that we now have the ability to provide those rich analytics. And if we could do them, we believe that we will be able to sell higher value inventory and sell more inventory, because it will provide the information that advertisers need and demand.
Ryan Hornaday: The question around rating in New York, Austin and Minneapolis, can you give our investors an update?
Jeff Smulyan: We've had a good run. Our ratings in New York, as matter of fact just the ratings that we released at the other day, WBLS, I think it was second in New York, actually first in one of the suburbs, HOT 97 has had a very good run being top three or four in 25.54, as well as first or second in 18.34. Our Minneapolis station came back from quite a slump. B105 has had a remarkable run in the last six months and is one of the top two or three stations in the market and demographics. HANK FM also has had a good run, and WIBC our New Stock Stations had its best ratings in about six years. So good here good in New York and Austin, generally good, Bob-FM is still the dominant station in Austin. La Zeta, our Spanish language station has performed very well, as well as our Rock Stations, K Rocks and KLBJ FM. So generally, this has been a very good run of ratings and we're hoping that the uptick in ratings in our markets will lead to better pacings. I’m already starting to see a little bit that in New York.
Ryan Hornaday: How was radio political advertising during the primaries. And what are your expectations for radio political advertising as we move into the general elections?
Jeff Smulyan: Well, I'm always a little bit more reserved on radio advertising for politics. But clearly the nature of the election this year, I think -- and also some of the questions about some of the digital responses, give me a little bit more bullishness that was so many contested elections in our markets in our all markets that we may get a bit of an uptick. It’s clearly something that we have never counted on. Radio has always gotten a fraction of television. But we may see a nice little uptick this year, we cautiously have -- more cautiously optimistic than normal.
Ryan Hornaday: What are Emmis’ views on potential deregulation in the radio industry?
Jeff Smulyan: Well, we’ve been public in saying that -- and as I look back on the history of deregulation in 1996, there were some concerns that it caused some challenges to the industry. I think today the notion of deregulating is attractive to us because we think one reason more than other, I don’t know if more stations is automatically a panacea. But I do believe and this is an industry that really needs capital and it will attract capital; and I think for that reason alone and also that may provide some more efficiencies in a world in which you just don’t compete with the radio station across the street; you compete with Google, you compete with Facebook, you compete with Amazon; having more scale in the world that we’re in today, I think is helpful.
Ryan Hornaday: As we talked about, we’re down to our last $28 million of credit facility debt with cash on the balance sheet that will allow us to operate without the revolver once it matures in August. And we’ve got a tax bill due on the St. Louis stations in May. There’s a question around what our Emmis’ plans to meet these obligations as they come to know.
Jeff Smulyan: We’re exploring our alternatives. Obviously, this is as my late father used to say, having $20 million of debt is a nice problem to have in the world that we’re in. But as we’ve said, we’re transitioning the Company and we’ll be looking for other alternatives. And I would say that we have a number of courses of action we could follow. And we’re going down a number of multiple paths to decide exactly what we do.
Ryan Hornaday: Any updates on WLIB-AM in the New York or the land in Indianapolis. And then more broadly, there is a question around other plans for any additional asset sales?
Jeff Smulyan: Well, I think we have said in terms of LIB that we’ve been down the path a lot. And I’ve said before and I’d certainly say it now, it’s never done until it’s done. We’ve had a lot of false starts, probably one of the more challenging sales that we’ve had. But there are now still two people looking at it, actually three. And if we can make a deal, we’ve always said, we’re in a position where we only are going to make deals that make sense to us. We’re not going to give our assets away, we’re fortunate that we have attractive assets. Our land process is continuing, we’re in final stages for zoning and that will allow us to seriously entertain some offers. But it’s clearly -- that’s a fun piece of land to own, because we can transition our AM tower site to other locations, or we can sell half of the land and still keep our AM site. And it is the most desirable land in Indiana. Whitestown is -- and right on Interstate 65 is a place where there’s lot of people have interest, we’ve already had a lot of inquiries. So we want to -- again, make the deals that makes sense but that’s a nice opportunity for this company.
Ryan Hornaday: So what should investors expect from Emmis in the next 12 to 24 months?
Jeff Smulyan: I think you can expect us to continue transitioning this company. We’re going to look at some new areas. We are looking at several new opportunities that are intriguing to us. Some are somewhat align to what we do now, some are totally far afield. What we’ve said is that we think that we have a group of managers and a culture that can really manage lot of things. I think we're smart enough to know what we don’t know. We’re not going to go into the widget business and think we know the widget business. But what we see that our management, our culture, our strategic ability that can help, and we can acquire some of the things we need to go into new areas we will do that. Our goal is to get into areas that grow. The hardest part about running this company for the last 10 years has been, I would say, we’re pushing water uphill. So we’d like to transition this thing so that we can get more growth.
Ryan Hornaday: That’s all we have in terms of questions. Jeff, any closing remarks?
Jeff Smulyan: No. Again, I thank everybody for joining us today, especially our own employees who are here who have been great and really the hardest working, most loyal, dedicated, and I think competent people I know. And we’re fortunate we’re a company with the balance sheet, which is very manageable. We still have very, very good assets. We have two initiates the NextRadio and DigiNext that we think have some great opportunity in the future. And we think that there is more to come, so stay tuned as we say in Radio.
Kate Healey Snedeker: Thanks Jeff, thanks Ryan. Just a reminder that there is a playback of the call available for the next week, the phone number again for that is 402-220-5339. Thanks everyone.
Operator: Thank you. And that concludes today's conference. Thank you all for joining. You may now disconnect.